Tom McMillan: Good morning. My name is Tom McMillan and I'm the General Manager of Corporate Communications and Investor Relations for Black Diamond Group Limited. At this time, I would like to welcome participants of Black Diamond’s Results Conference Call for the First Quarter of 2015 with President and Chief Executive Officer, Trevor Haynes and Executive Vice President and Chief Financial Officer, Mike Lambert. We’re also joined today by Troy Cleland, Executive Vice President and Chief Operating Officer of Black Diamond Structures; Steven Stein, President and Chief Operating Officer of Black Diamond Logistics; Harry Klukas, Executive Vice President, International; and Toby Labrie, Vice President, Finance for Structures. After our formal remarks, there will be a question-and-answer session. At this time, all lines have been placed on mute to prevent any background noise. Please note, that while talking about our results and answering questions, we may make forward-looking statements. These statements are subject to known and unknown risks, and future results may differ materially. We will also be discussing non-GAAP financial measures in today's call including EBITDA, funds available for dividends and pay-out ratio. For more information, about these topics please review the sections of Black Diamond’s first quarter 2015 Management’s Discussion & Analysis, titled Forward Looking Statements, Risks and Uncertainties and Non-GAAP Financial Measures. This quarter's MD&A, news release and unaudited financial statements can be found on our website at www.blackdiamondgroup.com, as well as the SEDAR website. Dollar amounts discussed in today's call are generally expressed in Canadian dollars, and rounded. I will now turn the call over to Trevor Haynes to review the quarter. Trevor?
Trevor Haynes: Thanks, Tom. Revenue was down 20% year-over-year on softer utilization from the oil and gas sector in North America and a weak mining sector in Australia. However, when compared with the fourth quarter of 2014, revenue was up by more than $10 million, partly due to the first days of the 1,244 bed camp in Dawson Creek beginning to earn rents in January. The second phase of this facility went on rent in April. Administrative costs remain flat year-over-year. So, compared to the same period, last year EBITDA declined 28% to $30.6 million. However, this was ahead of the guidance that we provided last quarter. Our profit for the quarter was $9 million, down 50% from prior year, primarily due to the static nature of our depreciation expenses which are not sensitive to lower revenues. We continue to believe that we have certain strengths that set us apart from our competitors in this low oil price environment. We generally have a higher rating to the SAGD area of the oilsands, the liquids rich natural gas regions of the Duvernay and Montney and pipeline infrastructure projects. We continue to see ongoing activity in all of these areas. Our BOXX Modular workspace solutions continue to drive solid results. Our capital plan for 2015 remains at $50 million. This does not contemplate any spending for prospective Canadian projects related to LNG. If these projects go ahead the capital expenditures will be incremental to our current capital plan. The industry as a whole continues to anticipate additional announcements during the second quarter of 2015 that will shed further light on the likelihood of the Pacific Northwest LNG project preceding, which we expect will produce demand for roughly 12,000 beds, which we believe we can win at least our market share. The second quarter is traditionally weaker than the first quarter for Black Diamond due to a spring break up in northern Canada which results in a general low in oil and gas activity. We expect this pattern to repeat itself, so second quarter EBITDA should be somewhat lower than the first quarter. I'll ask Mike to go into more detail about the financial results for the quarter. Mike?
Mike Lambert: Thanks Trevor. EBITDA for the quarter was down $11.7 million from the year ago. As you can see from the chart on Slide 4, much of this was related to our structured business unit which continues to be impacted by lower utilization as a result of the significant decline in oil prices. That all said, utilization and workforce accommodations increased from 70% at the end of the fourth quarter to 73% in the first quarter of 2015. Our Logistics division was flat year-over-year on higher-margins, but lower revenues. Energy Services EBITDA was down year-over-year as low oil prices resulted in lower rates and lower utilization. International results were also lower year-over-year, due to the ongoing headwind in commodity prices that Australia's resource sector is currently facing. Administrative costs stayed level year-over-year but would've been down in the absence of severance costs related to downside in certain areas to suit current market activity. Now, I'm going to review the key financial metrics on the next slide. Black Diamond's profit and earnings per share continue to reflect lower activity levels. Administrative costs that remain static year-over-year, which I just touched on and depreciation costs that also remain that static relatively over last year. Funds available for dividends decreased by 26% due primarily to decreased activity levels, this combined with a dividend increase we made in August 2014, meant that our pay-out ratio was 36% for the quarter, compared with 26%, a year ago. Given the current run rate of Black Diamond's business, contract coverage and a diverse range of marketable assets, we remain confident that Black Diamond will be able to meet all of its financial obligations while continuing to pay our dividend. While the net debt to EBITDA ratio crept up to 1.45 times, as a result of our payments on the Dawson Creek, 1,244 bed camp, our balance sheet remains strong. With that, I'll turn it back over to Trevor.
Trevor Haynes: Thanks Mike. As we discussed last quarter, given the uncertainty around future oil prices, many of our oil and gas workforce accommodation customers with camps up for renewal have opted for shorter-term extensions instead of the typical multi-year extension. While this allows them to achieve greater flexibility, it has a negative impact on our forward contracted revenue. As a result of this dynamic, forward contracted revenue may not be an accurate indicator of forward utilization, while uncertainty remains in the oil sector. While we expect that the current environment will persist for the near term, we continue to see activity in our opportunity set. In short, we continue to be well positioned to weather this environment with a strong balance sheet, a diverse asset base, exposure to the regions that are experiencing ongoing activity and stable loading in our large managed camps for the foreseeable future. The Company is sound and our core run rate can support the company's financial obligations and dividend for the foreseeable future. We will continue to look for ways to diversify our business in terms of geographies, industries served and assets. We will take prudent measures to protect our balance sheet, be stringent with spending, but also remain ready to respond to a positive vital investment decision for LNG, which could represent an immediate avenue for accelerated growth. Thank you for listening. Tom?
Tom McMillan: Thanks Trevor. All of our analysts and institutional investors should have received an e-mail this morning with links to our press release, financial statements, management's discussion and a webcast presentation. If you did not receive this e-mail, please contact me after the call. Before we begin our question and answer session, again, we would like to ask analysts and investors to limit themselves to no more than two questions, before re-queuing, so that we can reach everyone before the end of the call. Operator?
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions] Our first question is from Chris Lalor from GMP Securities. Please go ahead.
Chris Lalor: Hi guys. First on, non-rental revenue in the Structures division, it was down year-over-year but it was higher than what we've seen in the past few quarters. Could you just talk a bit about what's driving that?
Mike Lambert: I'm sorry Chris. We didn't hear you very well there. Could you speak up a little bit?
Chris Lalor: Sorry. So, non-rental revenue couple so non-rental revenue was down year-over-year but higher in the past few quarters. Can you just talk about what's driving that?
Mike Lambert: Yeah, in Structures. You're saying in Structures. Yeah, in terms of non-rental, the activity was a little bit less in the first quarter, and also we had some costs related to some of that activity come through in the quarter as well.
Chris Lalor: Okay. So, just on the forward contracted revenue -- can you hear me all right or --?
Mike Lambert: Yeah.
Chris Lalor: Okay. On the forward contracted revenue you talked about a number of customers going for shorter term contracts, can you talk about how many customers are actually renewing longer term contracts this time and how many are kind of coming up for renewal in 2015? Just want a sense of if we should expect this number to continue to drop through the year.
Trevor Haynes: The contracted -- the outstanding contracted revenue, our view is that, that is likely to remain somewhat steady over the next couple of quarters. We do have some assets coming off rent, but we also have renewals that are being signed regardless of like the time, we still add that revenue into the contracted revenue number and so our current expectation, we -- some stability with that number before we start seeing some increase going forward. Steve, if you want to --?
Steven Stein: We're in negotiations with some of our major clients. There is upside. It's better now. Actually, just got possible long term contracts versus end of our last quarter, so we're hopeful some of our major facilities being renewed.
Chris Lalor: Okay. Just a follow up on that. What are you seeing in terms of pricing on those contracts and is there any difference in terms of pricing on shorter term versus longer term, any impact on margin there?
Trevor Haynes: Traditionally what we've done is offer more attractive rates for longer term commitment. So, one of our biggest risk is utilization against assets. What we've been working with our customers to do recently, given the uncertainty around their capital budgets and operating, man loading is that we've allowed shorter-term renewals at the longer term rates that they had the contract on previously. Our current view is that rates for longer-term commitments are consistent on our return formula, and it depends a little bit where the asset is et cetera, and what the competitive dynamic and how the discussion would be and if the customer's going, so we continue to remain competitive in the marketplace.
Chris Lalor: Okay. Thanks guys.
Operator: [Operator Instructions] The following question is from Dana Benner from Alta Corp Capital. Please go ahead.
Dana Benner: Good morning, all. I wanted to start with your Structures segment, and I wonder if I understand the Q2 EBITDA guidance you've given, but if you could maybe give us a little bit more granularity as to how you get there. Maybe, is it a tick down in utilization and pricing or is it predominantly -- we all understand the seasonality, but as we think what that major segment is, is it just -- would it be a seasonal pullback from there? Something that would be longer lasting?
Mike Lambert: No. It stays definitely seasonal. This is Mike speaking. In terms of what we're talking about in the second quarter, if you wanted to pick a number, take a look at last year's seasonal pullback and you could use the same approximate rate.
Trevor Haynes: The downturn that we typically experience seasonally isn't so much in the large format camps or in our BOXX Modular group. It has more to do with the smaller format camp, higher mobility around our Energy Services business. Then, we also see a change in loading in our facilities around our Logistics business, simply due to site access and weather as you know. We tend to have lower activity around these projects for the spring months. So, most of the impact we would see in Logistics and Energy Services to a lesser degree in our Structures business.
Dana Benner: Right. Then, I guess, second question. Do you -- I wonder if you have a sense as to what price begins to incentivize your clients, particularly in oily place, be it oilsands or even maybe on the liquids side, when the demand starts to tick higher for some of your major assets?
Trevor Haynes: You're asking us, what we think the price of oil needs to be for our customers to be more active?
Dana Benner: Uh-huh. Yeah, do you get a sense for what that trigger may be, where you get meaningful increments? You would be closer than I certainly would be.
Trevor Haynes: You know, we continue to hear different thresholds, $60 being a low threshold and $65 and then as you get up over $70, indications are that more projects get each of those thresholds, see economics attractive enough to begin driving additional capital into the programs. We believe the smaller increment phasing of the SAGD projects is as compared to the mining projects, is where we can see our return to capital spend and growth as those capital decisions would be arguably easier, than on the large capital spend projects around mining. Where those thresholds are and how that breaks down for each of the operators is something we'll leave to the analysts out there.
Dana Benner: Okay. With that, I will turn it back. Thank you.
Operator: The following question is from Andrew Bradford from Raymond James. Please go ahead.
Andrew Bradford: Good morning guys. Can I understand some of your preamble that the negotiations or discussions with your customers, particularly in the oilsands, have those discussions become easier over the last few weeks here?
Mike Lambert: We're willing to look for -- there's more panic, I would say, at the end of Q4 and with our oil customers, they've now kind of gotten used to the price, and as pricing increases, they've got more of a long term plan on their existing projects.
Andrew Bradford: Okay. So, this is just sort of a settling into the new norm and a re-rationalization of the discussions. Is that a fair way to put it?
Mike Lambert: Yup.
Andrew Bradford: Does that count as my second question?
Mike Lambert: That one did.
Andrew Bradford: Do you mind if I have another?
Mike Lambert: No.
Andrew Bradford: Do you -- when you talked about, Trevor, when you talked about your anticipation, as you want to hold to your traditional return metrics when talking on long term contracts, have you had success with that at this point through this tough cycle? Have you renegotiated a long term contract on those -- with those returns?
Trevor Haynes: Well, certainly with those customers who are looking for new facilities, new manufacture and there is still some of that out there. Putting a new dollar capital to work, our expectation for return or taking that risk has not changed materially and so those discussions continue along our traditional pricing methods and again longer-term, for us equates to less risk therefore better price for the customer. In some parts of our business around Structures, where we've got framework of pricing that has been suitable over a number of cycles with a couple of our very large customers, we've not -- we've not been required to revisit that, and we're continuing to see activity within those frameworks. Where we have a facilities in place and the customer is now, as Steve's pointing out, getting a visibility of ongoing use, such that perhaps at a different manpower loading that can see that loading over a longer period of time and a conversation is underway again. We're in a position where typically the cost to remove our facility and bring somebody else's in, where the asset's already on site gives you an advantage to a certain extent in the conversation, and we're very sensitive to our customers' situation et cetera. So there is some negotiation on price versus length of contract term and all the other pieces that go into these all in turnkey contracts, but it isn't to the extent that some people are anticipating for the industry. We're not looking at 30% pricing reductions et cetera in that category. We're looking at being a bit more creative to find ways to -- through efficiency or other changes to offer the customer cost savings with our return being less impacted. Then, the other category I'll touch on, you haven't really asked about it, but we may as well talk about it now, is where there aren't assets on a site and the project is looking to go ahead. There is capacity in the marketplace of existing assets, more supply than demand and therefore price is one of the considerations we're getting that idle capacity to work and so that's where you would see the biggest impact on pricing and I would suggest we're somewhere, 10% to 20%, perhaps on existing equipment that has come off projects looking to go on to a new project, and that's where we see the combination of the change in utilization and then a reduction in rate around those available for deployment assets having the biggest impact in that category where people ask us, where are you seeing pricing pressure and where are you seeing a reduction in your rental expense. That's a category.
Andrew Bradford: Okay. Well, perfect thank you.
Operator: The following question is from Jon Morrison from CIBC World Markets. Please go ahead.
Jon Morrison: Good morning all. I realized it's fluid at this stage, but based on the contracts that you have in hand and call it, some of the rolling spot market work that you have with producers that are still using your assets even though they've come off contract, do you believe your utilization and workforce accommodations will be relatively in line with what you put up in Q1 or even Q4 through the balance of the year ex some seasonality in Q2?
Trevor Haynes: At this point -- at this point in time, as we look at the utilization curve going back over last 12 months, the low point was somewhere around November for our large format camp fleet. We tipped up at the -- going into the end of the year and Q1 was slightly stronger than Q4 and so, we're -- there's an ebb and flow as assets move between projects et cetera, our current anticipation, eventually is that, somewhere around the Q1 level or between Q4 and Q1 would be a reasonable expectation going into the next couple of quarters.
Steven Stein: Now, based on what we know and the dialog we're having with our customers is -- the utilization that we reported for Q1, it's going to be [indiscernible] it could, within a couple of percentage points, either way.
Jon Morrison: As you look at the potential bed demand for Pacific Northwest, what's your sense on the amount of accommodation demand that can be met with existing or idle inventory versus actually having to go out and build new camps and as you think about the pricing on that work, does it fall into that first bucket you talked about, which is relatively in line you’re your historical returns over the last few years?
Trevor Haynes: There's a lot of dynamics that go into the various pieces around PNW LNG, takes into consideration arrangements and relationships along the pipeline route, even if it goes upstream for that matter, and then various elements of capacity and pricing is somewhere in that mix. Certainly the project is looking towards the best price solution and there's a number of different ways to give them cost advantage without necessarily damaging margins to the greatest extent. We think that there's -- our understanding of what the various requirements are that -- a good portion of the demand can be met by existing assets or existing assets slightly modified to fit their purpose, that would be certainly the first parts of the upstream and a good part of the midstream. The downstream requirement is likely to be new and so, when you balance out the whole number of bed, you're perhaps close to 50-50 existing versus new and built to purpose.
Jon Morrison: Appreciate the color.
Operator: Thank you. The following question is from Andrew Bradford from Raymond James. Please go ahead.
Andrew Bradford: I played by the rules. How do you get efficiencies in your Structures business? One of the comments you made is that you want to work with a customer, be a bit more creative about trying to get -- generate efficiencies, without compromising your return. What kind of efficiencies can you generate?
Trevor Haynes: The good part of the contracts that we're pursuing now and a high percentage of what we secured, even in the last year, year and a half has been full turnkey and when we offer the full turnkey managed solution, that's where we have many elements of those contracts that we can introduce various ideas for efficiency, many different choices in terms of how the customer wants the facility operated and amenities included et cetera. So that's where we've got the ability to offer those efficiencies.
Steven Stein: And we can work with our operators to -- see if, now that they've been in place, see if they can find any deficiencies on the contact. They've already been there for a period of time and know what they're up against and depending on the situation, if we get to the level of a longer term contract there's some of those assets that may be under some contract right now and if the term is long enough, it may get us to a point where it makes more sense for us to own those assets and we can drive efficiency that way. I can make a point about managed camps as well. We get efficiencies if they increase the term. Our third party caterers and our third party operators, we can drive lower prices, we can lower our longer term contracts. So, we come out way more efficient on some of our third party contracts.
Andrew Bradford: Okay, perfect. Thank you for that color.
Operator: Thank you. There are no further questions registered at this time. I would like to return the meeting to Mr. Haynes.
Trevor Haynes: Thank you very much for listening. Have a good day.
Operator: Thank you. That concludes today's conference call. Please disconnect your lines at this time and we thank you for your participation.